Operator: Good day, ladies and gentlemen. And to the NewMarket Corporation's Conference Call and Webcast to review Fourth Quarter 2018 and Year End Financial Results. All lines have been placed on listen-only mode. [Operator Instructions] At this time, its my pleasure to turn the floor over to your host Brian Paliotti. Sir, the floor is yours.
Brian Paliotti: Thank you, Angelica, and thanks to everyone for joining us this afternoon. With me today is Teddy Gottwald, our Chairman and CEO. As a reminder, some of the statements made during this conference call may be forward-looking. Relevant factors that could cause actual results to differ materially from those forward-looking statements are contained in our earnings release and in our SEC filings, including our most recent Form 10-K. During this call, we may also discuss non-GAAP financial measures included in our earnings release. The earnings release, which can be found on our website, includes a reconciliation of the non-GAAP financial measures to the comparable GAAP financial measure. We intend to file our 2018 10-K toward the middle of February. It will contain significantly more details on the operations and performance of our Company. Please take time to review it. I will be referring to the data that was included in last night's release today. Now onto the fourth quarter results. Our profit before tax was $71.1 million, a 9.5% increase, compared to the profit before tax for the fourth quarter of 2017 of $64.9 million. With the Tax Reform Act on the quarterly earnings per share numbers, this profit before tax number is a good way to compare our periods. The next set of numbers I'll mention does include the impact of the Tax Reform Act. Net income for the fourth quarter of 2018 was $62.8 million, or $5.58 per share, compared to net income of $4.1 million, or $0.35 per share for the fourth quarter of 2017. Income tax expense was $8.3 million for the fourth quarter of 2018, compared to $60.9 million for the fourth quarter of 2017, and $55.6 million for 2018, compared to $124.9 million for 2017. The main driver for the difference between the comparative periods was the additional income tax expense in the fourth quarter of 2017 of $31.4 million related to the enactment of the Tax Reform Act, primarily due to a one-time deemed repatriation tax on untaxed accumulated foreign earnings. In addition, the Tax Reform Act reduced the US corporate tax rate to 21% beginning in 2018. Petroleum additives operating profit for the quarter was $79.5 million, up 7.2% versus the fourth quarter of 2017. Sales for the quarter were $537 million, down 3.5%, compared to the sales for the same period last year, primarily due to lower shipments, which were down 10.2%, compared to the same period last year. Shipments decreased -- shipment decreases were in both lubricant additives and fuel additives. All regions except Asia-Pacific, which was the decrease in lubricant additive shipments; and Latin America was the only region reporting an increase in fuel additive shipments. During this past quarter, in addition to funding $20 million of dividends, we spent $20 million on capital expenditures in support of our long range capital plan and repurchased $83 million of stock. Turning to the full-year. Our profit before tax in 2018 was $290 million, down 8% versus 2017. Petroleum additive operating profit was $311 million, down 9.9% versus the prior year. Throughout 2018, we continued to see downward pressure on our operating margin, due mainly to the steady increase in raw material cost over the past two years. While our efforts have been focused on recovering these cost increases, we have been experiencing the lag between when raw material costs increase and price increases go into effect. Margin recovery will be a priority throughout 2019, so that we will gain -- again be consistent with our historical ranges. Petroleum additives, full-year shipments were down 2.8% in 2018, compared to the same period last year with decreases in both lubricant additive and fuel additive shipments. All regions except Asia-Pacific contributed to the decrease in lubricant additive shipments and Latin America was the only region reporting an increase in fuel additive shipments. Along with our substantial investments in petroleum additives from both a capital and research and development perspective, we returned $312 million to our shareholders through dividends of $80 million and stock repurchases of approximately 603,000 shares at a cost of $232 million. We ended the year with a very healthy balance sheet and with a net debt to EBITDA ratio of 1.8 times. As we have stated before, we are comfortable maintaining net debt to EBITDA in the 1.5 times to 2 times range. In 2019, we expect to see capital investments similar to our 2018 spend in the $75 million to $85 million range. Petroleum additives continued its steady performance as we continued to extend the reach of our products and services across the globe. Our newly expanded Singapore plant is running smoothly and our Mexico plant and the 2017 AMSA Acquisition is proving to be a great addition to our supply system. We have seen significant revenue growth maintained, measured cost control and continued to make internal progress on cost -- our cost to serve efficiencies across the enterprise. Unfortunately, we continue to see and face rising raw material costs throughout much of the year and this led to margin compression which overshadowed much of the progress as we did additive light volume in the fourth quarter. Our stated goal is to provide a 10% compounded return per year for our shareholders over any five year period defined by EPS growth plus our dividend yield. And the implication of this goal is that we may not necessarily achieve the 10% return each year. While we're well aware that we didn't achieve this goal in 2018, we are very committed to providing this level of return to our investors. Our business continues to generate significant amounts of cash and our priorities for using cash remain the same. We invest in the business for growth, fine acquisitions that strengthening our competitive position in petroleum additives and reward our shareholders through dividends and stock buybacks. As we look ahead to 2019, we expect to build on the successes of last year with a continued emphasis on the margin recovery. It should be a solid year for the petroleum additive segment and the Company as we are well-positioned for the long-term. We continue to focus on research and development to bring higher value products to our customers and we will continue to improve quality and cost to be more efficient serving the market. We appreciate your support. Angelica, that concludes our planned comments.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Okay. Our first question comes from Adam Taub of Stants Capital [ph] You may now state your question, Adam?
Unidentified Analyst: Hi, thanks for taking my question. I was hoping to better understand long-term shipment trends for lubricant additives in North America. Since 2014, the lubricant additive shipments have been either flat or down each year based on your 10-Ks. If the industry in the US in a slow annual decline or have there been any market share shifts? If the industry is in decline, what do you think has been driving that? And do you expect declines to continue or is there something that will flip the industry back to growth?
Brian Paliotti: First and foremost, thanks for the question. I'm not sure exactly what you're referring to. We don't disclose shipments in the 10-K, we disclose revenue. And so from a shipments perspective, I can tell you that the goal for the organization is to grow a few percentage points greater than the market. Last year, our shipments grew in total 8.7%, this year our shipments were down -- the compounded rate of growth for shipments over the last few years has been 2.1%. And so from a regional perspective, we don't have that information to share. But I can tell you from a general perspective shipments are in line with our long-term view.
Operator: Our next question comes from Dietrich Silver ([ph] of Washington Research. Please state your question, please. Dietrich are you muted?
Dmitry Silversteyn: I'm sorry. Are you asking for Dmitry from Buckingham Research?
Operator: From Washington Research, yes.
Dmitry Silversteyn: Oh, no, that's not me then.
Operator: No, you're last, sir.
Dmitry Silversteyn: I'm last? So, it is me?
Operator: Yeah.
Dmitry Silversteyn: Okay. Hi. So, this is Dmitry Silversteyn of Buckingham Research. Yeah, couple of questions, and I apologize, I jumped in the call little bit late. The -- can you talk a little bit about sort of the difference in profitability between your lube and your fuel additives business? And I'm just trying to understand your margins came in a little bit better than expected, given where the raw material pricing is. So, I'm just trying to understand, if this is a question of you -- of your pricing catching up with raw materials or is it a question of mix that impacted your margins in this quarter? I'm assuming in the call, but I'm just looking at the order of magnitude?
Brian Paliotti: Yeah. Hey, Dmitry, it's Brian. Definitely was pricing catching up with raw materials, we've been in the lag position as you know, and we've talked a lot about margin recovery and some of the actions that we've taken. So, from the perspective of what we saw in the quarter, the last two quarters, that is pricing catching up with other raw's.
Dmitry Silversteyn: Okay, So there is not -- you talked about your lube shipments being down 10%. Is that -- was that a function of sort of customers expecting lower pricing in 2019, so working down their inventories or what -- did you have any disruptions or difficult to shipping products and something got pushed off into the next quarter? For your industry 10% is a pretty big drop. So, I'm just trying to understand what's driving that?
Brian Paliotti: Yeah. Just to clarify, Dmitry, the 10% was across both lubes and fuels, wasn't just lubes. And we had a record in the fourth quarter of last year. So, the compare was really strong. The second half we've stated in both the third quarter and in this quarter we saw a little bit of slowdown in the second half. Don't see any fundamental change in the marketplace. And so, there was nothing there that was any different that we've normally seen. And so from the perspective of being down in the quarter, we don't read too much into that. Again, I go back to the trend over the last three years, this were up a couple -- were up 2% and that's directly in line with where we think the -- we want to be from a market perspective.
Teddy Gottwald: Dmitry, this is Teddy. The only thing I'd add to that is, it's hard for us to get a real read on any destocking that's going on. But anecdotally, we do think that there was some of that in the fourth quarter as crude oil and base oil saw some drop. So, we expect some of that contributed to the 10% because like you said, that's a big swing for our market.
Dmitry Silversteyn: All right. And Teddy, with that in mind, I mean, your raw material pricing is going to be coming down I would assume as well, because it's to some extent or some way the size of the barrel of oil. Is there -- how is your inventory position. And is there a need to maybe work off some inventory that you may have built during the inflationary part of your raw material cycle?
Teddy Gottwald: Well, we haven't seen any relief in raw materials in our results. We've seen -- we see -- we've seen more stability in costs than decrease. When you look at the full-year, our volume was off 2.8%. Our operating profit was off 9.9%. So, we feel good about the stability and starting to -- and catching back up in the second half, but for the year our margin are still below historical norms.
Dmitry Silversteyn: Okay. But I guess my question is, you haven't been carrying sort of higher than normal inventory in an inflationary cycle that you would now need to right size that we are sort of crusting that cycle and maybe looking forward to some lower pricing for your inputs in a quarter or two?
Teddy Gottwald: No, Dmitry. No, we're not seeing that.
Dmitry Silversteyn: Okay. And then the last question. You mentioned in your prepared remarks that you're still sort of trying to catch up with pricing, obviously you made a lot of headway in the last couple of quarters. As I think about 2019, should I be just kind of annualizing the pricing you got in 2018 or do you guys expect to get maybe one more price increase here in the first quarter to sort of finish this inflationary cycle with?
Brian Paliotti: Hey, Dmitry, I can tell you that over long periods of time, we've talked about this business being mid to high teens, we're working toward trying to get the margins back to that historical range.
Dmitry Silversteyn: Okay. But I mean, my question is would that require you to continue to push pricing or just hold the price where it is, and have -- based on other costs come in to get to the high-teens level?
Teddy Gottwald: That's more detail than we'd like to get into.
Dmitry Silversteyn: All right. That is fair enough. Thank you. That's all the questions I have.
Brian Paliotti: Thanks.
Teddy Gottwald: Thank you.
Operator: Thank you. [Operator Instructions] Okay, there appear to be no further questions at this time.
Brian Paliotti: All right, thank you everyone for your support and we'll talk to you next quarter.
Operator: Thank you. This does conclude today's conference. We thank you for your participation. You may now disconnect your lines at this time and have a great day.